Operator: Greetings, and welcome to the Reliance Steel & Aluminum Company Fourth Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Kim Orlando, with ADDO Investor Relations.
Kim Orlando: Thank you, operator. Good morning, and thanks to all of you for joining our conference call to discuss our fourth quarter and full year 2019 financial results. I am joined by Jim Hoffman, our President and CEO; and Karla Lewis, our Senior Executive Vice President and CFO. Bill Sales, our Executive Vice President of Operations will also be available during the question-and-answer portion of this call. A recording of this call will be posted on the Investors section of our website at investor.rsac.com. Please note that on February 24, we will be launching our updated website. The press release and the information on this call may contain certain forward-looking statements, which are based on a number of assumptions that are subject to change and involve known and unknown risks, uncertainties, or other factors which may not be under the company's control, which may cause the actual results performance or achievement of the company to be materially different from the results, performance, or other expectations implied by these forward-looking statements. These factors include, but are not limited to those factors disclosed in the company's annual report on Form 10-K for the year ended December 31, 2018 under the caption Risk Factors and other reports filed with Securities and Exchange Commission. The press release and the information on this call speak only as of today's date and the company disclaims any duty to update the information provided therein inherent. I will now turn the call over to Jim Hoffman, President and CEO of Reliance.
Jim Hoffman: Thank you. Good morning, everyone and thanks for joining us. Following a record year in 2018, we challenged ourselves to drive continuous improvement in our business in 2019, and we are extremely pleased with the outcome of our performance once again achieving many all-time highs. Before getting into the numbers, I would like to focus on safety, our most important core value at Reliance. We take the health and safety of our employee's, customers, suppliers and communities very seriously. Since 2017, our SMART Safety program has been focused on embedding our culture of safety across our entire family of companies. I am very proud to say, our efforts resulted in an incident rate improvement of 15% year-over-year in 2019, meaning fewer people were injured and fewer lives were impacted. While I congratulate my Reliance colleagues on this important achievement, we will not be satisfied until our incident rate goes to zero. I would like to thank each and everyone of my colleagues for their commitment to making safety a priority and for making it personal in 2020. Turning to our financial performance, our unique business model enabled us to execute our strategy and achieve record earning levels, despite both demand and pricing pressure on our top line. Our 2019, net sales of $11 billion declined 4.9% year-over-year largely due to lower shipments and pricing pressure on many carbon steel products. Thanks to the hard work and strong execution of our managers in the field, we achieved a record annual gross profit margin of 30.3% that drove, record annual gross profit dollars of $3.3 billion, record pre-tax income of $929.3 million, record net income of $701.5 million and record earnings per diluted share of $10.34. Our strong profitability and focus on working capital management generated record cash flow from operations of $1.3 billion. Our 2019 results once again demonstrate the strength of our proven business model, increased resilience to fluctuations in metals pricing and strong earnings power, due to the diversity of our products, end markets and geographies, as well as our increased focus on value-added processing. Turning to our performance. The fourth quarter of 2019, the demand environment remained relatively healthy and our shipments were generally in line with our expectations, while overall metals pricing softened compared to the prior quarter. However, our strategy of providing consistent and reliable customer service across diversified end markets and a broad range of products coupled with small average order sizes and expansive value-added processing capabilities helped generate fourth quarter net sales of $2.45 billion and a strong gross profit margin of 32.4%. Our FIFO gross profit margin of 29.1% improved from the third quarter of 2019 and combined with higher-than-anticipated LIFO income and a lower tax rate resulted in $2.44 of earnings per share in the fourth quarter of 2019 well above our guidance of $1.60 to $1.70. As I've stated time and time again, our managers in the field are the reason we are able to maintain an industry-leading gross profit margin throughout various cycles. They maintain a disciplined approach to pricing and focus on high-quality high-margin business. At the same time, they identify new opportunities to expand our value-added processing capabilities enabling us to meet our customers' needs, while simultaneously expanding our margins to drive greater earnings power. Through our ongoing investments in equipment, we performed value-added processing on 51% of the orders we shipped in 2019, up from 49% in 2018 and our more historical rate of about 40%. We expect to continue to invest in value-added processing capabilities, which we believe will further increase our percentage of orders that we include processing services. As a result of these investments and our ability to maintain a FIFO gross profit margin of 28.8% or higher in each quarter of 2019, we are excited to increase our estimated sustainable gross profit margin range to 28% to 30% from our prior range of 27% to 29% on approximately $11 billion in sales. This is a significant increase in gross profit dollars. Turning to market conditions in our key end markets. Demand in non-residential construction the largest end market we serve was solid in the fourth quarter with notable strength in shipment volumes of carbon steel structural and tubing products. We are cautiously optimistic that demand trends in non-residential construction market will continue to strengthen in 2020. Demand for processing services we provide to the automotive market, which we service mainly through our toll processing operations in the U.S. and Mexico remains strong. The strength of underlying demand trends driven by increasing levels of aluminum content in vehicles combined with new programs we have been awarded and our proactive investments in facilities as value-added processing equipment gives us confidence that our position in the automotive market will continue to grow. We expect all three facility expansions in Mexico to be operational by the end of the first quarter of 2020. Turning to aerospace. The majority of our sales consist of heat-treated aluminum products, primarily play as well as specialty stainless steel and titanium products. Aerospace demand remained strong in the fourth quarter with a solid order backlog and steady mill lead times with notable strength in the defense area. In the commercial area, we are closely monitoring the situation regarding Boeing's 737 MAX jet and expect to see some softening in demand going forward. Beginning early in the fourth quarter, we proactively reduced our related inventory and headcount well in advance of the production pause announced by Boeing in December. In terms of our exposure, we estimate our direct sales into this program are minimal totaling less than $75 million per year, which is about 0.5% of our sales. Overall, we maintain our positive outlook on aerospace market and continue to focus on growing our share domestically and abroad. Demand for common alloy aluminum sheet remained steady throughout the quarter. However, pricing remains under pressure as availability continues to increase. Demand for stainless steel declined somewhat in the fourth quarter of 2019 and shortened lead times have been impacting pricing trends. We experienced pricing declines in stainless steel flat products in both December and January pressured by declining nickel surcharges. Prices have begun to recover slightly in February. Demand in heavy industry for both agriculture and construction equipment was steady during the fourth quarter. We expect activity to remain at similar levels in the near term. Demand for energy, which is mainly oil and natural gas remains at low levels. We anticipate ongoing reduced activity in this market in 2020. We have been and continue to be proactive in adjusting our cost structure as activity levels in our businesses serving the energy market decline. Lastly, after multiple quarters of declines in the semiconductor market, demand improved in the fourth quarter of 2019. We experienced demand improvements on both the manufacturing side as well as the aluminum plate side of the business. Looking ahead, we expect semiconductor demand to improve in 2020 compared to 2019. Turning to capital allocation. As I highlighted earlier, we are extremely proud of our record cash flow generation in 2019. We are equally pleased with how we have continued to strategically allocate our capital through a balanced approach focused on both growth and stockholder return. We invested $242 million in capital expenditures in 2019 to improve the safety of our operations and enhance the working environments for our employees and fund our growth and innovation initiative to better meet our customers' needs. Our 2020 capital expenditure budget of $250 million will support the addition of even more new innovative equipment and advanced technology, strengthening our value-added processing capabilities, as well as facility upgrades and expansions. We continue to focus on innovation in all aspects of our business. Yesterday, we announced the launch of a new e-commerce business FastMetals Inc., which offers a diverse selection of metal products available for shipping nation-wide. Centrally located in Massillon, Ohio and with direct access to Reliance's vast network of metal service centers, FastMetals was created to address the growing demand for digital purchasing solutions and to provide an additional channel to experience our unique customer focused business and a wide range of products. Turning to acquisition. We are thrilled to welcome another company to the Reliance family through the acquisition of Fry Steel Company on December 31, 2019. Fry Steel is a general line and long bar distributor founded in 1948 and is located in Santa Fe Springs, California. Fry Steel's model aligns well with our strategy of investing in high quality, high margin businesses. Fry Steel has an excellent reputation providing superior customer service, a diverse product assortment and next-day delivery through its proprietary fleet of trucks. We believe a significant number of opportunities remain in the market. We continue to look for targets that meet our strict criteria of high quality businesses with strong management teams and superior levels of customer service. Acquisitions must also complement our product and end market diversification strategy and be immediately accretive to our earnings. Stockholder returns remain core to our capital allocation philosophy through a combination of quarterly cash dividends and share repurchases. We have paid regularly quarterly dividend for 60 consecutive years. Today we announced a 13.6% dividend increase, representing the 27th increase since our 1994 IPO. We also repurchased $50 million of our stock in 2019. These actions underscore our commitment to delivering value to our stockholders as well as our ongoing confidence in our business model. In summary, we are extremely proud of our 2019 results. Positive market conditions aided record results in 2018. That was not the case in 2019. And we were able to generate record earnings in a more difficult environment. Not only did we maintain our disciplined approach of providing excellent customer service focusing on high-quality high-margin business and increasing our levels of value-added processing, we challenged ourselves to drive continuous improvement in all of our business including safety. I'd like to once again, thank each and every member of our Reliance family of companies, especially our managers in the field for their hard work and dedication that together generated record results for annual gross profit dollars, gross margin, pre-tax income, net income earnings per share and cash flow from operations. Looking ahead, we will maintain our focus on continuous improvement executing our proven business model and delivering value to our shareholders. Thank you very much for your time and attention today. I will now turn the call over to Karla to review our fourth quarter and full year financial results as well as our first quarter of 2020 outlook in more detail. Karla?
Karla Lewis: Thanks, Jim, and good morning, everyone. Excellent operational execution in 2019 overcame declines in both pricing and shipment volumes and resulted in strong financial results, which I'm pleased to discuss with you today. Net sales of $2.45 billion for the fourth quarter of 2019 decreased 8.9% from the third quarter due to a combination of lower shipments related to the typical fourth quarter seasonal trend we experienced as a result of customer holiday-related closures and fewer shipping days along with some downward pricing pressure. Our tons sold declined 6.8% compared to the third quarter consistent with our guidance of down 4% to 7% and outperformed the industry decline of 8.5% reported by the MSCI. Our average selling price per ton sold, declined 2.4% in the fourth quarter also in line with our guidance of down 2% to 3%. For the full year 2019, our net sales of $10.97 billion were down 4.9% compared to 2018. Our average selling price was down 1.3% and tons sold were down 4.1% year-over-year again outperforming industry shipments, which were down 7.2% per the MSCI. Despite these reductions in pricing and tons shipped, our strong operating performance generated several records, which I will address in a moment after I address our higher than anticipated earnings in the fourth quarter. Our fourth quarter gross profit margin of 32.4% benefited significantly from our use of the LIFO inventory valuation method as we estimate the amount of our annual LIFO adjustment at the end of each quarter during the year and then true-up to our actual LIFO calculation as of December 31, based on the cost of our inventory on hand at that time. Also, because we had rightsized our inventory by the end of the third quarter of 2019, we purchased inventory in the fourth quarter at lower cost which reduced our year-end inventory cost on hand more than we had anticipated increasing LIFO income beyond our expectations. As a result, we recorded LIFO income of $81 million in the fourth quarter of 2019 compared to our estimate of $25 million, which added $0.62 to our fourth quarter earnings per share. For the full year 2019, we recorded LIFO income of $156 million compared to LIFO expense of $271.8 million in 2018 when metal prices rose throughout the year mainly due to Section 232. In 2019, as prices declined mainly for carbon steel products and we rightsized our inventory quantities, a portion of our 2018 LIFO adjustment reversed which increased our 2019 gross profit margin supporting our belief that the LIFO method reduces the volatility of our earnings. We ended 2019 with a LIFO reserve of $137.6 million, which will generate LIFO income and positively benefit our gross profit margin and earnings, if metal prices are lower at the end of 2020 than at the beginning of the year. However, we currently believe that metal prices will improve slightly by the end of the year and estimate LIFO expense of $20 million in 2020. As in prior years, we will update our expectations quarterly, based upon our inventory cost and metal pricing trends. For the full year 2019, we achieved a record gross profit margin of 30.3%, which exceeded our prior estimated sustainable range of 27% to 29% and drove the highest annual gross profit dollars in our history of $3.33 billion. In addition to the positive LIFO income contribution to our 2019 gross profit margin and earnings, the strong pricing discipline and focus on higher-margin orders by our managers in the field increased our resiliency to changing metal costs, decreasing the pressure on our gross profit margin from declining metal costs. Our managers also leveraged our ongoing investments in value-added processing equipment and generated incremental sales and increased earnings by providing more value-added services to our customers. Strong execution by our managers in the field generated a FIFO gross profit margin of 28.9% for the year and maintained a gross profit margin of 28.8% or higher in each quarter of 2019, an amazing accomplishment, given the difficult environment for many of our products. Our fourth quarter SG&A expenses decreased $5.5 million from the third quarter of 2019 and for the full year 2019, decreased $27 million or 1.3% compared to 2018 on a non-GAAP basis, which excludes $18.2 million of gains on sales of non-core assets in 2018. We recognized a significant reduction in our SG&A expenses in 2019, due to lower incentive compensation for our managers and salespeople in the field, who are incentivized on a FIFO basis, which excludes any LIFO adjustments. We also adjusted our headcount and overtime in response to lower shipping volumes, but these savings were largely offset by general inflationary cost increases in areas such as wages and healthcare. And we will continue to closely monitor expenses at each of our operations and take quick proactive measures when we anticipate changing market conditions. Pre-tax income was $209.6 million for the fourth quarter, with a pre-tax margin of 8.6%, compared to 8.1% in the third quarter of 2019. For the full year, our record pre-tax income of $929.3 million increased $78.7 million, or 9.3%, compared to 2018 and produced a pre-tax income margin of 8.5%, attributable to our strong operational execution. Our effective income tax rate for the fourth quarter was 20.7%, compared to 29.5% in the fourth quarter of 2018, due to certain true-ups in each of the periods. Our earnings per share were $0.13 higher-than-anticipated in our guidance, due to our lower than estimated income tax rate in the fourth quarter. And for the full year 2019, our effective income tax rate was 24.0% compared to 24.5% in 2018 and we currently anticipate our full year 2020 effective income tax rate will be 24.5%. Net income attributable to Reliance for the fourth quarter of 2019 was $165.6 million, resulting in earnings per diluted share of $2.44. As previously mentioned, our higher-than-estimated LIFO income and lower-than-anticipated tax rate in the fourth quarter contributed a net $0.75 of additional earnings per share, significantly exceeding our guidance of $1.60 to $1.70. Net of these items, earnings per share would have been $1.69 in the fourth quarter of 2019. For the full year, we achieved a record net income of $701.5 million and record earnings per share of $10.34. Turning to our balance sheet and cash flow. We are very pleased to have improved our already strong financial position in 2019 as record earnings and effective working capital management including a $211.8 million reduction in inventory generated cash provided by operating activities of $1.3 billion an all-time high for Reliance. Our focus on rightsizing our inventory improved our inventory turn rate to 4.5 times in 2019 from 4.2 times in 2018 approaching our company-wide goal of 4.7 times. In 2019 we used our record cash flow to execute our capital allocation priorities of investing in the growth of our business and returning value to our stockholders. We invested a record $242.2 million in capital expenditures, paid $176.8 million for an acquisition, repurchased $50 million of our common stock and paid $151.3 million in dividends to our stockholders. Our strong cash flow also enabled us to pay down $617.9 million of debt in 2019. At December 31, 2019 our total debt outstanding was $1.6 billion resulting in a net debt-to-total capital ratio of 21.4% and a net debt-to-EBITDA multiple of 1.1 times. We had $1.09 billion available for borrowings on our $1.5 billion revolving credit facility at December 31, 2019 providing us ample liquidity to continue executing all areas of our capital allocation strategy including our $250 million capital expenditure budget for 2020 and a 13.6% increase in our quarterly dividend beginning in the first quarter of 2020.  Turning to our outlook. We are optimistic about business conditions in the first quarter of 2020 and expect that end demand will remain relatively steady. As a result, we estimate our tons sold will be up 6% to 8% in the first quarter of 2020 compared to the fourth quarter of 2019 due to the normal seasonal increase in shipping volumes compared to the fourth quarter. We also expect that overall metals pricing will remain near current levels, which we estimate will result in our average selling price in the first quarter of 2020 increasing 1% to 2% compared to the fourth quarter of 2019. Accordingly, we currently expect non-GAAP earnings per diluted share to be in the range of $2 to $2.10 for the first quarter of 2020. In closing, we are extremely pleased with our 2019 financial and operational results that were generated by the outstanding execution of all of our employees and most notably our managers in the field. Their efforts coupled with our proven business model and disciplined strategy resulted in yet another year of record earnings and cash flow enabling us to continue executing on all our capital allocation priorities of investing in the growth of our business and returning value to our stockholders. That concludes our prepared remarks. Thank you for your attention. And at this time we would like to open the call up to questions. Operator?
Operator: Thank you. [Operator Instructions] The first question comes from the line of Martin Englert of Jefferies.
Martin Englert: Hi. Good morning, everyone.
Jim Hoffman: Good morning.
Martin Englert: The sequential volume guide I believe suggests that the volumes will still be trending down about 1% to 3% year-on-year but we've seen some growth in the January industry volumes versus a year ago. Maybe if you could discuss and touch on what you're seeing thus far with January to February volumes to-date versus last year? And why you'd expect to see continued declines?
Karla Lewis: Yes. So, -- hi Martin, really looking at how we've performed so far in January we think overall business levels are good. We're seeing some good strong pockets, but overall, if we look at our January shipments per day, we are down a little bit from January 2019. So, our volume estimates right now reflect that. Our volume guidance of up 6% to 8% from Q4 is really assuming business levels remain fairly steady with where we saw them towards the end of last year. So, we did not bake in any upside but certainly there could be upside that comes from some of the markets that we serve.
Martin Englert: Okay. And for what you're seeing thus far in February? Has anything changed? Are you still seeing daily volumes comparing negative year-on-year?
Jim Hoffman: They're okay. They're steady. They're kind of what we anticipated. There's been a little movement we think in pricing which we're anxiously awaiting to see how they go. And if they go in a positive direction, that's good for us. But we're kind of in line with where we thought.
Martin Englert: Okay. Thanks. That's helpful. And given non-residential construction is your largest end markets and end market there and understanding it's been a milder winter what are you seeing there with current demand trends? And maybe what are you expecting for the year as far as growth?
Jim Hoffman: Yes, that's a good market for us. It has been for a long period of time. It's our largest market by far. We've spent a lot of money in the value-added end of that. Our customers continue to ask us to do different things that we can add value to. And I said it before it's been -- 2009 was tough. And ever since then the adjustments have been positive. It's kind of a slow burn up. And once again, 2019 was good. We continue to grow in that. Certain ends of that market are better than others which is great because we can adjust to any of those markets. Distribution end of that market with the campuses and what have you, distribution campus is really is in -- really nice shape. We've got orders coming and our customers are looking forward to 2020. So, we don't anticipate anything other than positive. But once again, we don't speculate on that. We listen to what our customers tell us and we adjust to that. We have close relationships with our suppliers who give us an idea of their order books and what they see and it all seems positive to us.
Karla Lewis: Yes, we are seeing good activity in the non-res market so far in 2020.
Martin Englert: Great. Thanks. That's helpful for understanding. And congratulations on another record year and increasing your gross margin assumptions and the sustainable range there.
Jim Hoffman: Thank you.
Karla Lewis: Thank you.
Operator: Our next question comes from the line of Seth Rosenfeld of Exane BP. Please proceed with your question.
Seth Rosenfeld: Good morning. Thank you for taking the questions.
Jim Hoffman: Good morning.
Karla Lewis: Hi Seth.
Seth Rosenfeld: Thank you. If I can ask two please. First on working capital and secondly on the digitalization. When it comes to working capital, obviously, 2019 was a very positive year either by market conditions and also your internal measures. Assuming that demand does begin to normalize upwards 2020 with the end of the destock and also perhaps more stable pricing, can you give us some sense of what we should expect with regard -- in the coming full year? And then secondly please when it comes to digitalization, can you give us a bit more color on what drove your decision to launch this FastMetals e-commerce platform? If I remember back in the past you've sounded a bit more skeptical about digital sales. Is there any concern that this sort of large scale platform ultimately increases price transparency, makes it more difficult for you to generate very strong margins from your customers and if they have a better sense of spot pricing across the market? And how will that change your inventory management strategy as well? Thank you.
Karla Lewis: Seth, on the working capital question we did as we mentioned reduced inventories. We had to focus on that in 2019 and we had talked about throughout 2019 that at Reliance along with we believe many other service centers during 2018, when Section 232 was announced, there was a bit of a run so to speak on buying and so we bought a little heavier than we maybe needed to for where demand ended up throughout the remainder of 2018. So we came into 2019, a little heavy had a focus on reducing inventories. We think our folks did a great job of responding to that. So we added about $212 million to cash flow. Just from our inventory reduction. So while we don't anticipate that because we think our inventories are in good shape coming into 2020, we still because of our higher earnings levels, we do expect good cash flow throughout the year. Typically, we use cash from operations in the first and second quarters of the year and then we throw off a lot of cash in the third and fourth quarters. However, with the higher earnings level, and then also with the way we are managing our inventory throughout the year, I think that we probably could have slightly positive earnings from cash flow in the first half of the year. And then at the end of the year, again we would expect to throw off a little more because shipping volumes are down because of fewer shipping days, but overall not at the levels of this year. I think we feel very comfortable with probably about a $600 million cash flow from operations. Working capital, we think will be pretty consistent this year.
Jim Hoffman: Yeah. And Seth I'll address the digitalization in the FastMetals. But that's just the continuation of our strong support of innovation looking into the future. It's nothing new to us really. And we've had the ability and many of our customers out there are family companies out there, who can do business online. We're not in the business of telling our customers how they should buy from us. We're in the business of listening to them and creating a format that makes it easy to buy from us. So this was that, our customers asked for. We put it together. We're anxious to see how it goes. It's more of a catalog-type organization versus some of our other companies have been doing business online for a long period of time. That's more specialized very customer specific. This is a kind of a generic catalog sales, but the interesting thing is it connects with all of our Reliance companies. So if you're a particular kind of customers, I think we'll use that. And again, we're very interested in what our customers need. And when they ask us to do things we do everything we can to give them the tools that they need to help their companies.
Karla Lewis: But we believe our traditional sales model with the way that we do business is interact with our customers the way we've done it historically, which is a non-catalog pricing method will continue to be by far the majority of our business. And like Jim said, this is just hitting one portion of customers with a different model. But we're not worried that our entire business model was changing. We still think it's very sound and will continue.
Jim Hoffman: Right now, I mean, it's still the same. Our customers appreciate relationships. Customers like to talk to people. They like the fact that our sales people are expert. They can give them metallurgical insight they can give them all kind of different ideas and value added. And that's the way, the majority of our customers like to buy, but there certainly is an opportunity for people to buy with different tools. So again, that's what we're doing. Q - Seth Rosenfeld Thank you. Sorry. Just a follow-up please to make sure I heard you right. When it comes to working capital apart from organic cash from operation is your assumption that I heard you right that working capital will be broadly stable on a 12-month view? And then lastly, just with regards to FastMetals broader digital sales. By comparison what should we expect of the higher-margin sales by volume? Is it going to be the traditional sales model or the digital channel?
Karla Lewis: So on the working capital, Seth, yeah, with our current outlook of pricing up a little bit by the end of the year volumes probably were a little below last year at this point. But we would expect little change in our working capital levels this year. And then on the…
Jim Hoffman: Yeah, as on the FastMetals side, yeah, this again is a very small part of the business. We don't see it impacting the rest of our business really at all. It's kind of a market that we haven't been a supplier to. These are smaller specialized end users catalog-based, no minimum or quantity. So in reference to impact the margin and things like that I think that would be insignificant.
Karla Lewis: It's really targeted a little more to like the retail-type users which is a small market.
Seth Rosenfeld: Got it. Thank you very much.
Operator: Our next question is from the line of Timna Tanners of Bank of America Merrill Lynch. Please proceed with your question.
Timna Tanners: Hey, good morning guys. Hope, you are doing well.
Karla Lewis: Good morning.
Jim Hoffman: Hey, Timna.
Timna Tanners: Hey. I just wanted to ask a little bit more about your overhead. I thought Karla explained pretty nicely that you contained it this year in the past, SG&A has grown every year or most years. But this year despite better results we had a more stable SG&A. So I just wonder if you could give us a little bit more thoughts on what you can do with that in 2020 keeping in mind of course, it will depend on some of your compensation and so on? But if you could give us a little bit more -- are there more cost-cutting efforts that you can do there? Or what are you planning to do with SG&A into 2020?
Jim Hoffman: Yes. Well, we're -- you know us fairly well, Timna. We run the business day-to-day, week-to-week, month-to-month, we look at every operation we have and we look for continuous improvement. How can you do it better faster, cheaper and provide more value to our customer base? So we continue to do that. We have a lot of programs in place that on the innovation side that will help us with the SG&A. Certainly, we've proven in the past, where markets adjust we tried to adjust before. We have a knack for kind of know what's going to happen. I think I believe in my script or Karla's we talked about the 737 issue at Boeing. We saw it coming, we decided to get our inventory in line, which we have tended to always do headcount reduction. We knew that there was going to be an issue before that company even guided. The energy market has been kind of under siege of technology over a period of time, and we continue to look for opportunities to right-size and do the right things for our customers. So that -- there's no reason to change though. This is an operating company that happens known in a lot of different companies. Every one of them has bought in to our model and our kind of direction on continuous improvement. And if you do that, you do come to work every day trying to do the best thing for your -- to keep your people safe, to keep your margins high and to keep your inventories correct. So if you do all those things, pretty good chance your SG&A will come in line too.
Timna Tanners: Okay. If you had any more specifics on like a flat down that would be great, but I appreciate that color. I guess, the other thing I wanted to address was that you alluded to on the aerospace side. So, yeah, you did take action in advance of that. Aerospace is a pretty high-margin product for your end market for you. So just was wondering and we've been hearing that the channel is a little oversupplied and that there were some concerns there. Could you provide a little bit more color on what you're seeing there maybe not directly with Boeing but more broadly? And if you – obviously, you'll be monitoring, but if you see any further repercussions? And along those same lines if you could comment on the other hot button topic of the China impact? I know your presence there is not that large, but any observations there would be great. Thanks a lot.
Bill Sales: Hey, Timna, it's Bill. On the aerospace side, I think we've seen, on the supplier side for the most part I think they all know what the impact of the 737 will have to them. And I think all are outworking to try to replace any impact on volume. Fortunately, we're seeing defense really strong. And I think that's been a nice offset for some of the mills. We're also seeing the general engineering plate and semiconductor plate market is strong. And so that's been a nice offset to the mills to replace some of that lost volume. So I think they're all working with same lead times that they've stayed pretty steady, but maybe shortening just a bit. But so far I think our outlook on aerospace is still strong. We know there's going to be some impact from the 737 but there's an offset to that in these other markets. So that part of it has been strong. The question on the coronavirus, we do have a couple of operations in China. The majority of the impact there has been the extension of the Chinese New Year. So we saw some additional downtime there. We've got a couple of those operations that the government still has -- have us in a closed mode and we do have some employees that are in a quarantined state. But fortunately all of our employees are okay. We don't have any that have been impacted by that other than just the quarantined part of it. So when we look at the impact for the specific operations in China, it's just the impact of having fewer days because of the extended holiday and some extended shutdown time.
Karla Lewis: And but those operations sales levels are very small as a component of overall Reliance. So no, nothing in any way material impacting us from that.
Timna Tanners: Got you. Okay. Thanks again.
Operator: [Operator Instructions] Our next questions come from the line of Phil Gibbs of KeyBanc Capital Markets. Please proceed with your question.
Phil Gibbs: Hi, good morning.
Jim Hoffman: Hi, Phil.
Phil Gibbs: The value-added investments you've made and are making I'd assume they are deep in this 2020 budget. Any thoughts on where some of those investments are targeted? And I guess why keep the pedal -- your pedal down amid all the macro uncertainty?
Jim Hoffman: Well, we will keep our pedal down that's our model. Our -- the customers continue to ask us to do different things. I don't see that changing in the future. It does make sense for us to do it versus for them to buy that kind of equipment. The technology out there is really impressive and expensive. And our model says, hey we'll -- let us put that in and let us do the work, take the work out of your shop, put it in our shop but we're going to charge for the value-added parts. So it has been a good model. I don't anticipate it to continue to spend at the levels we've been spending. But certainly in 2020 we're spending a nice, it was $250 million. Let's not jump change. That's money. We anticipate getting a return on there. Where is it going? It's kind of across the board. There's everything from building expansion, greenfield start-ups. There's a lot of different equipment, equipment in laser, technology continues to change and continues to get better. The standard prec, saws, hones, scribers all kind of different equipment to add value. And so it's kind of across the board, geographically by market by equipment. And it's just the nature of our business and the fact that we actually do listen to our customers. And you have to always remember we're going to be in that $90 million to $100 million of what we call maintenance just to keep this big machine running. So that's a significant number in itself. But the rest of it is kind of -- is targeted towards growth and additional value-added process that our customers have.
Karla Lewis: Yeah, and we've also got -- still a couple of -- as we've done in the last few years, we've got a couple of pieces of property where we're operating where we were previously leasing that we've been able to buy out those. So that's a chunk of the CapEx. And we're also as we have been continuing to make investments within our IT organization, certainly to improve the security of all of our systems as well as along the lines of innovation and continuous improvement creating some more efficient tools for -- throughout the company to us.
Jim Hoffman: And you know Phil we have a real strong focus on the efficiency of cash utilization. The CapEx spend is certainly part -- one part of that. And like I said, I don't anticipate spending at this level. Well, $250 million is a lot of money. But then my -- it is my anticipation that it will curtail somewhat because of the fact that the lease buildings, once we buy all the buildings, we're pretty much taking that money out. But again, that's -- the CapEx spend is just one part of the efficient use of cash. And we have a good problem in that we would generate a lot of cash, and we're able to move it into the buckets that we think is the right thing to do at the time. But CapEx will always be a part of our spend as acquisitions and dividends and stock buybacks, and all the things we do to efficiently use our cash.
Phil Gibbs: I wanted to talk just a little bit about the semiconductor market you said that's coming back. Obviously a lot of that is the region-specific. In terms of Asia, there's a lot of demand pull that goes on from that just in terms of where the equipment is made. And with CV risk out there, particularly for the first half, does that push anything out for you? Or is that more or less would be more of a push out I guess for your customers? I'm just trying to understand: one, how that impacts your outlook? And then two, I know you had made a heavy investment in that semiconductor landscape in 2018 internally in a Greenfield, you were probably able to get the returns out of that last year given the macro, but I would think that you're looking to pull some of that out this year in 2020. So, any thoughts there would be helpful.
Bill Sales: Yeah, Phil it's Bill. So as you know semiconductor is one of those markets that can kind of ramp-up really fast and stop really fast. And we went through about nine months where we were on the ramp down. And so, it's been really positive to see things improve and the outlook continues to be very positive even for our operations in Asia. Our operation in Korea specifically is doing really well. The outlook there is positive. Will there be some impact from CV on our China business? Yes, there will be. But as Karla mentioned, that's smaller and we think that overall particularly when you compare it with the impact of the overall Reliance, it's really insignificant. So our outlook in terms of both what we do on the chamber side of the business and on the plate side of the business for semiconductor is still very positive. And the U.S. is still very strong.
Phil Gibbs: If I could ask one more strategic question. The electric vehicles have obviously caught a lot of pandemonium here the last couple of years to put it mildly. And some of that I would imagine is within metals you already play in some of that is within metals that you don't or you might -- how are you leveraged right now to participate in a bigger market there? And are you being asked to participate in terms of any supply chain management?
Jim Hoffman: Yeah. We're actually involved. We do -- I'm not going to name the companies, but we are involved in electric vehicles in a nice way. That will continue to grow. Our toll processing operations that carried to the automotive market are doing quite well. We'll continue to invest. And part of that investment is exactly what you're talking about, whether their use in gas, engines, electric, diesel, that's their decision. But we're there to support them. They still need metal whether it's high-strength carbon or aluminum or Lord knows what other kind of product, they're going to put into the thing. So we're ready for them. And we actually have visibility into the future and it looks bright. Yeah. So those are markets that we're excited about. And just to remind you our customers are not the automotive guy. Those are people we do the work. We ship product to our customers who are actually the producers of the mill. We don't have any inventory on hand for that. But it's a really good business for us. And whether they're gas engines or electric, we're already involved in the electric and as these companies seem to be planning for the future, we'll be there for them to -- through their thought process.
Phil Gibbs: Karla I just had one clarification question. I appreciate that Jim. One clarification before I hop off. So this year I think you did around $1.3 billion in cash from operations. Net working capital was a positive of about $300 million, so call it core cash from operations of about $1 billion. Did you say that you expected cash from operations in 2020 to be at a minimum $600 million? Or did you say free cash flow because that's just a big difference and I wanted to make sure we weren't missing anything on that?
Karla Lewis: Yes. We were talking -- I was talking cash flow from operations and again I think that's probably a minimum level.
Phil Gibbs: Thank you.
Operator: Our next question comes from the line of Alex Hacking of Citi. Please proceed with your question.
Alex Hacking: Hi, good morning and let me add my congratulations on the record results last year. I actually -- sorry I actually had the same question on working capital $600 million seems kind of low like you're I guess your profit guidance for 1Q of $200 million to $210 million is around $140 million. Add back DD&A and you're around kind of $200 million a quarter of cash flow from operations assuming the working capital impact. So I guess that -- question is that $600 million very conservative because it seems conservative? Thanks.
Karla Lewis: Yes. So as I just clarified with Phil and emphasized minimum. So I think you know is Alex we're typically fairly conservative on our guidance. We also are generally because of the nature of our business with a quick turnaround, limited backlog and limited pricing visibility, we're typically only guiding out a quarter. So we take a fairly conservative approach when talking about the year. So...
Alex Hacking: I got it. Appreciate the time. Thanks.
Operator: We have reached the end of the question-and-answer session. I will now turn the call back over to Jim Hoffman for any closing remarks.
Jim Hoffman: Yes, thank you everybody for participating on the call and the continued support and commitment to Reliance. So I hope you realize we are really happy with our 2019 return and we're looking forward to 2020. And I'd like to remind you all that next week Tuesday, February 25 we'll be in Hollywood Florida presenting at the BMO's Global Metals & Mining Conference and we hope to see you all there. So have a good day and thanks again.
Operator: This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.